Operator: Good day. And welcome to the MasTec's Fourth Quarter 2019 Earnings Conference Call, initially broadcast on February 28, 2020. Let me remind participants that today's call is being recorded. At this time, I would like to turn the conference over to Marc Lewis, MasTec's Vice President of Investor Relations. Marc, please go ahead.
Marc Lewis: Thanks, Nichole, and good morning, everyone. Welcome to MasTec's fourth quarter call. Following statements made pursuant to the safe harbor for forward-looking statements described in the Private Securities Litigation Reform Act of 1995. In these communication, we may make certain statements that are forward-looking, such as statements regarding MasTec' future results, plans and anticipated trends in the industries where we operate. These forward-looking statements are the company's expectations on the day of initial broadcast of this conference call, and the company does not undertake to update these expectations based on subsequent events or knowledge. Various risks, uncertainties and assumptions are detailed in our press releases and filings with the SEC. Should one or more of these risks or uncertainties materialize or should any of our underlying assumptions prove incorrect, actual results may differ significantly from results expressed or implied in these communications. In today's remarks by management, we will be discussing adjusted financial metrics as discussed and reconciled in yesterday's press release and supporting schedules. In addition, we may use certain non-GAAP financial measures in this conference call. A reconciliation of any non-GAAP financial measures not reconciled in these comments to the most comparable GAAP financial measure can be found in our earnings release, our 10-K or in the posted PowerPoint presentations located in Investors and News sections of our Web site located at mastec.com. With us today, we have Jose Mas, our CEO and George Pita, our Executive Vice President and Chief Financial Officer. The format of the call will be opening remarks and announcements by Jose, followed by a financial review from George. These discussions will be followed by our Q&A period, and we expect the call to last about 60 minutes. We had another great quarter and have a lot of important things to talk about today, so I'll now turn it over to Jose. Jose?
Jose Mas: Thanks, Marc. Good morning. And welcome to MasTec's 2019 fourth quarter and year-end call. Today, I'll be reviewing our fourth quarter and full year results, as well as providing my outlook for 2020 and the markets we serve. I am happy to report that our financial results for 2019 were again at record levels. 2019 marks the fourth consecutive year of record financial performance. More importantly, we are again providing record levels of adjusted revenue, EBITDA, net income, cash flow and EPS guidance for 2020. I'd like to congratulate and thank the men and women of MasTec for their fantastic performance. I am honored and privileged to lead such a great group. The men and women of MasTec are committed to the values of safety, environmental stewardship, integrity, honesty and in providing our customers a great quality project at the best value. These traits have been recognized by our customers. And it's because of our people's great work that we've been able to deliver these outstanding financial results and position ourselves for continued growth and success. Now, some fourth quarter highlights. Revenue was $1.7 billion. Fourth quarter adjusted EBITDA was $210 million. And fourth quarter adjusted EPS was $1.30. For the full year, 2019 revenue exceeded $7 billion for the first time at just under $7.2 billion. 2019 adjusted EBITDA was $843 million. 2019 full year adjusted earnings per share was $5.21 versus $3.77 in 2018. And cash flow from operations for the year was $550 million. All of these metrics were at record levels for 2019. In summary, we had an excellent quarter and another great year. First, I'd like to make sure comments on the fourth quarter. Actual results came in right where we expected them with a little bit of changes in the mix. Communications revenue and margins were basically flat sequentially, which was good considering the slowdown associated with the merger activity in the industry. As expected, oil and gas revenues were impacted by the push out of work into 2020. Margins were again strong, as we performed very little cost reimbursable work. Our electric transmission segments delivered strong double digit revenue growth and significant margin improvements versus last year's fourth quarter. And our power generation group delivered their best quarter of the year, generating $333 million of revenue in the fourth quarter with nearly 8% segment EBITDA margins. Reflecting on the full year, while every financial metric was at record levels, the truth is 2019 could have been even better. While our oil and gas group had a great year, there was a significant amount of revenue pushed into 2020 that we had the resources to complete in 2019. And in communications the merger of T-Mobile and Sprint delayed a lot of activity until the merger decision was reached. I mentioned this because I believe there is a significant amount of pent up demand that will benefit us in 2020 and beyond. While those effects aren't expected to completely subside until the second half of 2020, it gives us significant amount of visibility into our full year expectations. Regarding 2020, today we announced revenue guidance of $8 billion and EBITDA guidance of $900 million. Our expectation is that all of our segments will enjoy revenue growth and all but oil and gas should enjoy double digit revenue growth. With regards to margin, we expect margin improvements in communications, electric transmission and power generation with a decrease in oil and gas margins related to project mix. In communications, we expect our growth this year to be driven by the continued expansion of fiber optic networks, investments in wireless network capacity and 5G related work. As we've said before, the expected 5G CapEx budgets and length of the spending cycle are both unprecedented. 5G significantly enhances the number of opportunities for MasTec based on the total number of network elements involved. Each of those elements requires significant construction activity. Our expertise on deploying wireless services coupled with our ability to do extensive front end work in conjunction with optimization and data management and data maintenance, allow us to sell these services across any carrier or geography as an end-to-end service. Based on how much denser a 5G network is, the level of activity required to deploy these networks around the world is unparalleled. Our reputation, history and expertise uniquely position us to be a leader in 5G deployment. We also believe that we're incredibly well positioned for the long-term network maintenance opportunities. This cycle won't just be about the initial deployment, but will also be driven by the increased maintenance requirements of a bigger more dense, complex and evolving network. As the largest wireless contractor in North America, we are uniquely positioned to execute on these opportunities. We are making significant investments today in people and resources as we are in the early stages of a sizeable multi-year opportunity. We expect strong growth in the years to come with a significant improvement in margins as we reach full scale and utilization. We are also very encouraged by the recent court rulings related to the T-Mobile/Sprint merger. T-Mobile, Sprint and Dish Network, all have significant build plans. While the uncertainty around the outcome of the pending merger led to lower activity levels in the fourth quarter of 2019, which we believe will continue into the first half of 2020, we expect activity levels to significantly increase in the second half of 2020. Moving to our oil and gas segment, we expect another strong year. We are enjoying strong broad-based performance across our long-haul and midstream project integrity work, utility main replacements and facility construction. We have excellent visibility based on current backlog levels and verbally awarded work. While backlog at year-end was roughly $1.9 billion, subsequent and verbal awards amount to roughly another $1.4 billion. Our work today is more diversified in both number of projects and geographic concentration. We expect oil and gas to have a slower start compared to 2019, as we have fewer winter projects and most of our projects are starting in the spring. For example, we have four major projects starting towards the end of the first quarter, five in the second quarter and another couple in early third quarter. 2020 revenues will be more back half loaded because of the work schedules. We have already been awarded work for 2021 and activity levels and demand is very strong. Margins in this segment were very strong in 2019, and included in our guidance is a margin reduction in 2020 primarily related to the expectation of a change in mix with more cost reimbursable work in 2020. Our Electric Transmission Group had a very solid year. While we were expecting 2019 to be more of a transition year leading into what we believe will be a very strong 2020 in this business, the last couple of quarters have been better than we had forecasted. EBITDA for the full year 2019 nearly tripled 2018 levels. We expect double digit revenue growth in the segment in 2020 with continued margin expansion. Catalysts driving the business include the shift-to-clean energy, grid enhancements and general spending around replacing and strengthening aging infrastructure. Our power generation group also delivered strong revenue growth. Revenues grew 56% from last year's fourth quarter and I'm pleased to announce that the segment exceeded $1 billion in annual revenue for the first time, a $700 million increase since 2017. The segment has record backlog of nearly $1.3 billion and we expect them to deliver another solid year of strong growth. We saw a nice uptick in margins in the fourth quarter and expect margins to improve on a full year basis in 2020. We've done a great job diversifying the segment and we have strong opportunities in the wind, solar, power generation and civil markets, and expect continued long term growth opportunities. To recap, we had another record year in 2019 and we expect 2020 to be even better. More importantly, we are even more excited about our longer term prospects. The markets we serve are evolving, changing and growing and we are confident MasTec has positioned itself to be a leader across all of the segments we serve. I'll now turn the call over to George for our financial review. George?
George Pita: Thanks, Jose and good morning, everyone. Today, I will cover fourth quarter and annual 2019 financial results, including cash flow, liquidity and capital structure, as well as our initial guidance expectation for 2020. As Mark indicated at the beginning of the call, our discussion of financial results in guidance will include non-GAAP adjusted earnings and adjusted EBITDA. Reconciliation of details of non-GAAP measures can be found in our press release, on our Web site or in our SEC filings. In summary, we have strong fourth quarter 2019 results and capped off a record 2019 year by virtually all GAAP and adjusted financial measures. Our record year end 2019 level of backlog also supports our expectation that 2020 will be yet another record year for MasTec and importantly, long term trends in our end markets support our optimism for continued growth in 2021 and beyond. As we enter 2020, our balance sheet is in excellent shape as 2019 generated another year of record cash flow from operations. And our expectation is that 2020 cash flow from operations will exceed 2019 at yet a new record level. As noted in yesterday's release, we are pleased that S&P Global Ratings has recognized our consistent strong cash flow performance and leverage profile with its recent ratings upgrade. In summary, our capital structure provides us with ample liquidity and comfortable leverage metrics, allowing us full flexibility to take advantage of future growth opportunities. Turning to a quick recap of fourth quarter and annual 2019 results, fourth quarter 2019 revenue was $1.7 billion. Adjusted EBITDA was $210 million or 12.3% of revenue. And adjusted diluted earnings were $1.30 per share. Annual 2019 revenue was $7.18 billion. Adjusted EBITDA was $843 million or 11.7% of revenue. And adjusted diluted earnings were $5.21 per share, with all of these metrics representing record performance levels. Fourth quarter financial performance was strong and generally in line with our expectation as we entered the quarter. Looking back to our initial annual 2019 guidance a year ago, our actual 2019 adjusted earnings performance significantly exceeded that initial expectation, with actual annual 2019 adjusted EBITDA of $843 million beating our initial expectation by $63 million, and actual annual adjusted diluted earnings of $5.21 per share, beating our initial expectation by $0.87 per share. Now I will cover some detail regarding our segment results. Fourth quarter 2019 oil and gas segment revenue of $587 million decreased 38% compared to the same period last year due to, as previously communicated, lower revenue by a large project as regulatory delays caused an early winter break and pushed project completion activity into 2020. Inclusive of this impact, annual 2019 oil and gas segment revenue was $3.1 billion, a 5% decrease compared to annual 2018 levels. Fourth quarter 2019 oil and gas segment adjusted EBITDA margin rate was 23% of revenue and annual 2019 oil and gas segments adjusted EBITDA margin rate was 20.3%. Annual 2019 oil and gas segment adjusted EBITDA margin rate of 20.3% was 660 basis points improvement over last year. And as we have previously communicated, this performance includes the benefit of project mix with reduced 2019 revenue levels of lower margin, large project, costs plus activity. As we move forward to 2020, we expect multiple and significant oil and gas segment project activity based on the combination of our year-end 2019 backlog, coupled with a significant 2020 verbal award activity that Jose referred to in his remarks. We anticipate that our oil and gas segment annual 2020 revenue will grow in the mid-single digit range with annual adjusted EBITDA margin rate in the high teens range. With this estimate, including an increased level of lower margin profile, large project cost plus activity in 2020. Based on our current expectation of a late spring early summer restart for selected 2019 project activity to be completed in 2020, as well as a similar start date pattern for 2020 new project activity, we expect that oil and gas segment revenue activity will follow a more traditional pattern unlike 2019. For 2020, we expect revenue and project activity to decline during the first half of 2020 when compared to the first half last year with second half 2020 revenue and project activity expected to show significant growth compared to the second half last year, and revenue and project activity peaking during the third quarter of 2020. Fourth quarter 2019 communications segment revenue of $674 million increased 4% compared to the same period last year. Annual 2019 communications segment revenue of $2.6 billion increased approximately 2.4 compared to last year. Fourth quarter and annual 2019 communication segment revenue trends are characterized by continued double digit growth in wireless and wireline fiber services, partially offset by decreases approximating 30% installed to the home services. As a reminder, annual 2018 communication segment revenue also included approximately $75 million in non-recurring Puerto Rican hurricane relief efforts. The fourth quarter and annual 2019 communication segment adjusted EBITDA margin rate was 8% of revenue, and this decreased rate level reflects ramp up costs related to fiber project startup costs and crew capacity initiatives as we invested in communication segment capacity growth in 2019 in order to maximize our future potential. As Jose indicated in his remarks, our U. S. telecommunications market is rapidly evolving and we believe this evolution will drive significant and long term demand for our wireless and wireline fiber services. We expect annual 2020 communications segment revenue, adjusted EBITDA and adjusted EBITDA margin rate to show strong increases when compared to 2019. With annual 2020 revenue approaching $3 billion and annual 2020 adjusted EBITDA margin rate approaching 10%. This expectation includes the assumption that both revenue growth rates and adjusted EBITDA margin rate performance will improve during the year, with first quarter of 2020 adjusted EBITDA margin rate expected to approximate first quarter 2019 levels and adjusted EBITDA margin rate performance improving in the second quarter of 2020 and accelerating throughout the balance of the year. Importantly, while our communications segment annual 2020 expectation reflects a significant improvement when compared to 2019 performance, we anticipate the communications segment market trends will continue to progress over the year, affording us the potential for continued significant additional revenue, adjusted EBITDA and adjusted EBITDA margin rate improvements in 2021 and beyond. Fourth quarter 2019 electrical transmission segment revenue increased approximately 16% compared to the same period last year to approximately $115 million and annual 2019 revenue was $413 million. Fourth quarter 2019 electrical transmission segment adjusted EBITDA margin rate was 8% of revenue and annual 2019 adjusted EBITDA margin rate was 7.1%. And on an annual basis, 2019’s performance represented 450 basis point improvement compared to 2018 levels. This segment also in the 2019 was strong backlog of over $500 million. We expect annual 2020 electrical transmission segment revenue will show strong growth somewhere in the high teens to low 20% range with a slight improvement in adjusted EBITDA margin rate when compared to 2019. We also believe end market conditions for this segment are supportive and expect continued strong revenue and adjusted EBITDA margin growth for this segment in the coming years. Fourth quarter 2019 power generation and industrial segment revenue increased approximately 50% to $333 million, and annual 2019 revenue grew 55% to $1 billion. We've been saying for several years that this segment has significant growth potential and we are proud to have delivered on this expectation, with this segment's revenue growing from $300 million in 2017 to approximately $1 billion in a short two year period. Fourth quarter 2019 adjusted EBITDA margin rate was 7.7% of revenue, a strong sequential improvement and well over the annual 2019 adjusted EBITDA margin rate of 3.9% for this segment. In summary, annual 2019 adjusted EBITDA margin rate performance for this segment was negatively impacted by operating inefficiencies related to managing high levels of revenue growth and we believe, the fourth quarter 2019 the adjusted EBITDA margin rate performance is more indicative of a longer term margin profile potential for this segment. We continue to experience a very active market and renewable project activity as evidenced by record power generation and industrial segment year-end 2019 backlog levels that approach $1.3 billion. As we look towards 2020, we expect this segment will show strong revenue growth somewhere in the high 20% to high 30% range. We also expect annual 2020 adjusted EBITDA margin rate performance to improve somewhere in the range of 200 basis points to 250 basis points over last year to the mid to high single digit range. Now I'll discuss the summary of our top 10 largest customers for the annual 2019 period as a percentage of revenue. AT&T revenue derived from wireless and wireline fiber services was approximately 15% and install-to-the-home services was approximately 5%. On a combined basis, these three separate service offerings totaled approximately 20% of our total revenue. As a reminder, it is important to note that these offerings, while falling under one AT&T corporate umbrella, are managed and budgeted independently within that organization, giving us diversification within that corporate universe. Equitrans Midstream Corporation was 11% of revenue. Energy Transfer was 8%. Verizon comprised of both wireline fiber and wireless services was 5% of revenue. And EPIC Midstream Pipeline was also 5%. Phillips 66 was 4% and Duke Energy, Kinder Morgan were each at 3%, with Iberdrola and NextEra energy rounding up the top 10 customers at 2% each. Individual construction projects comprised 64% of our annual revenue with master service agreements comprising 36%, and this mix highlights that despite increased project activity levels, we continue to have a substantial portion of our revenue derived on a recurring basis. At year-end 2019, our backlog of approximately $8 billion represented the highest year-end level in MasTec's history. Notable backlog activity during the fourth quarter includes a sequential increase in Communications, Power Generation and Industrial and Electrical Transmission segment backlogs. It is worth noting that last year's year-end 2018 Electrical Transmission segment backlog included approximately $250 million of Puerto Rican storm restoration services that ultimately never led to revenue generation and thus, unduly impacts current year-over-year backlog comparisons for this segment. And this represents the last period of this compatibility issue as no Puerto Rican storm restoration backlog was reflected in any 2019 backlog amounts. Lastly, it should be noted as we've indicated for years, backlog can be lumpy as large projects burn off each quarter and new large contract awards only come into backlog at a single point in time. And this trend is evident given the significant oil and gas 2020 verbal award activity, Jose mentioned in his remarks. In summary, our backlog performance and trends support our optimism regarding the strength of our end markets, which are exhibiting sizeable multi-year growth opportunities. Now I'll discuss cash flow, liquidity and working capital usage, as well as capital investments. For the year ended 2019, we generate a record level of $550 million in cash flow from operations and ended the year with net debt defined as total debt less cash of $1.36 billion, which equates to a book leverage ratio of 1.6 times. We ended the 2019 year with DSOs at 91 days compared to 81 days last year. Of this 10 day increase in DSOs, approximately eight days was due to the combination of lower fourth quarter 2019 revenue levels on selected oil and gas project activity coupled with fixed or higher project retain balances simply based on project timing. Additionally, we had about $75 million in ordinary course collections from one customer, the equivalent of approximately four days outstanding arrive in January rather than by year end. Given the seasonality of our first quarter 2020 revenue coupled with fixed retainage amounts, we would expect DSO levels for that quarter to approximate year end levels and then return within our stated DSO profile of mid-to-high 70s to mid-to-high 80s. We are proud that annual 2019 cash flow from operations reached a new record level and the 2019 free cash flow defined as cash flow from operations less net cash CapEx once again exceeded adjusted net income. This performance was based on ordinary course billing and collection activity, and highlights the strength of our cash flow profile. Accordingly, we also expect record annual 2020 cash flow from operations growing in rate slightly higher than our planned 2020 earnings expansion, with free cash flow once again exceeding adjusted net income. As we begin 2020, our long term capital structure is solid with low interest rates, no significant near term maturities, a strong capital structure and ample liquidity. This combination gives us full flexibility to take advantage of any potential growth opportunities to maximize shareholder value. As a reminder, we have approximately $129 million remaining in open share repurchase programs. Regarding our spending on equipment, annual 2019 net cash CapEx defined as cash CapEx net of equipment disposals was approximately $91 million and we incurred an additional $206 million in equipment purchases under finance leases. We anticipate incurring approximately $150 million in net cash CapEx in 2020, with an additional $150 million to be incurred under finance leases. Moving to our initial 2020 guidance, we are projecting annual 2020 revenue of $8 million with adjusted EBITDA of $900 million or 11.3% of revenue and adjusted diluted earnings of $5.63 per share. As noted in the tables on yesterday's release, effective with the first quarter of 2020 for all presented periods, adjusted diluted earnings per share measures will exclude the net of tax impact of amortization of identified and tangible assets for all of the company's acquisitions. We believe this presentation is common practice and will improve compatibility of our results with our largest public peer. We also believe this presentation better represents the company's adjusted diluted earnings per share results given the non-cash, non-operational nature of these charges, coupled with the inherent volatility in these charges from the purchase accounting process. The supplemental schedules in our press release yesterday show the impact of this presentation change, which equates to approximately $0.23 per share for both the annual 2020 and 2019 periods. And thus, an apples-to-apples comparison of adjusted diluted earnings per share on this presentation basis is $5.63 per share for 2020 compared to $5.44 per share in 2019. Effective with the first quarter of 2020, all historical period data results will be shown under this new presentation basis. As we have previously provided some color as to 2020 segment expectations, I will briefly cover other guidance expectations for modeling purposes. We expect annual 2020 interest levels to approximate $75 million with this level of excluding any potential share purchase activity that may occur in 2020. Our estimate for 2020 share count is 76.3 million shares. We expect annual 2020 depreciation expense to approximate 3.2% of revenue, a slight increase over 2019's rate due to the timing impact of 2019 capital additions and acquisition activity. We expect that annual 2020 other segment equity in earnings from our equity interest in Waha fiber operations will approximate 2019 levels. We expect annual 2020 corporate segment adjusted EBITDA to be a net cost of slightly less than 1% of overall revenue with this improvement over 2019, primarily expected as a result of lower expected earn out charges. We expect net income attributed to non-controlling interests will approximate 2019’s levels and cadence. And lastly, we expect that the annual 2020 adjusted income tax rate will approximate 24%, with this expectation, including a near zero tax rate during the first quarter due to an expected discrete deferred tax benefits that will be recognized only in the first quarter with subsequent 2020 quarterly adjusted tax rates approximating 26%, and this blend reached to an annual 2020 adjusted tax rate that approximates 24%. Our first quarter 2020 revenue expectation is $1.3 billion with adjusted EBITDA guidance of $108 million, or 8.3% of revenue and adjusted earnings guidance at $0.48 for adjusted diluted share. As a reminder, first quarter results typically represent our lowest earnings of the year due to where whether seasonality and a transition to new customer capital budgets, and also reflects previously discussed timing cadence of 2020 oil and gas project activity. In terms of some additional color on the expected timing of 2020 consolidated revenue performance, we expect first half 2020 consolidated revenue to decline in the mid single digit range when compared to the first half of 2019, and second half 2020 consolidated revenue to increase in the high 20% range compared to the second half of 2019. This expectation incorporates previously indicated timing cadence of expected 2020 oil and gas project activity, as well as the expectation of communications segment 2020 revenue growth levels will accelerate during the year. Based on the anticipated 2020 revenue timing, we expect that first half 2020 adjusted EBITDA margin rate will be in the high-single digit range and due to increased second half 2020 revenue levels, second half 2020 adjusted EBITDA margin rate will accelerate exceeding our annual 2020 expectation of 11.3% of revenue. In summary, we are proud of our record 2019 performance and to be in position to have new record performance expectations for 2020. Importantly, as we look beyond 2020, we strongly believe that our markets afford us significant and expanding multiyear growth opportunities. That concludes our prepared remarks and now we'll turn the call over to the operator for Q&A. Operator?
Operator: [Operator Instructions] Now we'll take our first question from Blake Hirschman from Stephens. 
Blake Hirschman: First off on the communications piece, can you just elaborate a little bit on some of the things Sprint, T-Mobile and the others that kind of held back activity in the back half of the year and probably will into the first half and then expand a little bit more on some of the things that give you confidence that activity really accelerates into the back half of 2020?
Jose Ramon Mas: So I think if you look at 2019, a lot of the slowdown in the second half was all related to the merger activity. So it was those companies that were engaged in the merger activity. Outside of those companies, if you look at AT&T or you look at Verizon, I don't necessarily think that they slowed down in the second half. If you look at our fourth quarter revenues with AT&T and you back out our install piece, we were actually up about 10% with that customer in the fourth quarter versus last year. And you know I know there's a lot of questions around our first half guide, and even our Q1 guide and how much of a ramp it has to happen in the second half. One of the things that I'd like to point out across all segments specifically communications, we're actually expecting that segment to be up in the first quarter of 2020 versus the first quarter of '19. So despite the slowdown from Sprint and T-Mobile and even Dish, just all three of them combined in the merger we're still seeing a lot of activity in the industry. The problem is we're not seeing the level of activities we would have hoped relative to 5G and we know it's coming, we've geared up for it, we think we're in a great position. So I think it's all a great part of the story. There's going to be a lot more work. We're well positioned to execute on it. We're well positioned to do really well. And we're looking forward to it coming. We think it comes in the second half of the year. And it's exciting prospects for us.
Blake Hirschman: And then the follow-up, sticking with communications, I know you've been ramping up hiring and it's impacted the margins? Is that the main drag here or is there any project associated issues as well? And then when do you think at what point in the year are you going to be lapping the worst of that accelerated hiring rate? Thanks a lot.
Jose Mas: Well, the hiring is going to be dependent on where we're seeing the industry at any given point in time. We made investments in 2019 that we think we're going to pay huge dividends for us. It's all a function of revenue, so our margins aren't declining, our margins are kind of steady on a sequential basis and that's our expectation. So to the extent when that revenue flows in is when we think we'll see margin appreciation based on utilization. That's still what we believe. We think that really starts hitting in the second half of 2020 and that's really the only change to what our expectations and guidance has been.
Operator: And we'll take a question from Noelle Dilts from Stifel.
Noelle Dilts: I wanted to touch on the oil and gas segment on pipeline. I'm just trying to get a sense of the visibility you’re talking about for 2021, and the work you've booked. So when you talk about that 1.4 billion of verbal awards, is there any way you could get us a sense of how much of that work might continue into '21? And I just would like to get a sense of how you're thinking about visibility in the market, given some of the comments we're hearing of midstream companies that are expressing a more conservative approach to CapEx?
Jose Mas: We understand what people are saying. We obviously read it. We're in contact with all of our customers. We understand what each customer is doing. You're going to see a different customer mix for us over the course of the next couple of years. While there are some customers that are slowing down, there are a number of other customers that are still going to be spending considerably in the years to come. We're very bullish about not only 2020, but 2021. The 1.4 billion is actual awarded projects, there are a lot more projects that we are chasing right now that will be executed in the next 18 to 24 months that we're very excited about. We expect to be in the same place in 2020 that we've been in the last couple of years. We'll be at full capacity. We're going to struggle to figure out ways to get all the work done in the second half of this year that we're going to have. And we think we're going to be in a similar position in 2021 based on the conversations that we're having with our customers and the expected jobs that we're hoping to win and be executing, not just in '20 but in '21. Longer term, we've talked about it before we're huge believers in what's happening with LNG. We think that's going to create an enormous amount of work in outer years. So despite all the noise and despite particular customers and what they're doing with CapEx, we're still very bullish as to what's happening in our industry.
Noelle Dilts: And then just sticking with oil and gas, you guys did provide a lot of helpful guidance around margins and how you're thinking about them for the year. But specifically as it relates to the first quarter of '20, it looks like revenues will be down sequentially. But could you just give us a little bit more detail on how you're thinking about the margin profile for oil and gas in the first quarter, and maybe then in to the second just coupled with the mix of cost-plus versus more fixed price in the first half of the year versus the second.
Jose Mas: I think what's happening in Q1 are a couple things. One is we had some project push outs from '19 that we would have been hoping to work on some of those projects early in the year, even if it there was restoration related work that would've generated more revenue. We were probably caught a little flatfooted on that relative to finding work to back that up, because at the end of the day we're committed to the jobs that we have. So we've got to have the capacity to grow once they start. So Q1 will be slower. The reality is that the way a lot of our contracts work is even though revenues will be down, we’ll be compensated on some jobs for some of our expenses or margins and Q1 should be very strong again. We're not expecting a dramatic drop to margins, it'll be less than they were in Q4, but there'll be solid for first quarter. As we look at project starts going into the second quarter and third quarter, we expect that business to begin to ramp. We expect to have a really strong second half just based on our work schedules to kind of put it in perspective what we're kind of thinking for 2020 is we'll do about $1 billion in the first half of the year and roughly $2.2 billion in the second half of the year that's kind of how our guidance plays out, obviously, second quarter being almost double with first quarter is. And if you go back to, I don't know 2018 or so, you'll see that we did about $1.1 billion in the second half of 2018, so to believe our guidance, you've got to kind of believe that we're going to do what we did in 2018 plus about $100 million for the second half versus what we did in '18. We think that's very doable. We think the work schedule and plans that we have out play perfectly to that. So we are, I think on an overriding theme, we take guidance very seriously. We take a lot of pride in the fact that know we've been able to deliver the guidance for such a long period of time. It's what gives us our credibility, it’s very important to us. So we wouldn't put out any numbers that we didn't think were achievable and we think our second half plan is very achievable relative to the work that we have today.
Operator: And we'll take our next question from Jamie Cook with Credit Suisse.
Jamie Cook: I guess two questions, Jose. One, just going back to the communications business and you talked about investment and that we need revenues to improve the margins, but just broadly. Can you talk about is the investment in 2020 the same versus 2019? Or how do we think about how you're ramping headcount in our business? Are we just starting to moderate, because you want to see the revenues come through? And then my second question on the oil and gas side, understanding you have great visibility and your market share is very high. But are you seeing any sort of changes in terms and conditions when you're bidding on projects just because the market broadly is weaker even if your market share is high, and whether that's a risk to the business? Thank you. 
Jose Mas: So I'll answer the second part first. In oil and gas, again, I think that we've done a great job of building a brand and building our reputation. I think our customers know what we can deliver, and I think that's put us in an advantageous position. I don't see any difference in the margin profile of jobs on a go forward basis as what we've seen in the past. I think customers generally are looking for contractors that they know are going to deliver their projects on time and on schedule. And for a long time, we've executed on that and been very well. And I think the results have spoken for themselves and they are demonstrated in our financial results. But the reality is that it's the production in the field results that allow you to perform financially, so I think it speaks for itself. On the communication side of the business, we're going to continue to ramp. We'll moderate it a little bit in the first half of the year, but we see a lot of work coming and we want to be well positioned for it. Again, we're going to see a stronger second half than first half, maybe we don't have huge expectations for what the merged entities are going to end up doing in the first half of the year. We expect some pickup in the second. If anything I think our guidance is conservative relative to what we could ultimately do with some of them. So again, we're very bullish.
Operator: And we'll take our next question from Andrew Kaplowitz with Citi.
Andrew Kaplowitz: So just going back though Noelle’s question in different way is the $1.4 billion that you mentioned that you going to put that in backlog in Q1. And then last quarter you had mentioned, initial guide, high single digit growth for the year and definitely you guys are talking about mid single digit. Is that more just sort of discounting how MVP plays out? Is that some deferrals or cancellations that you've seen for this year? And maybe anymore color you can give us on that change.
Jose Mas: So the first question around what we expect to be in backlog at the end of Q1, we expect the full 1.4 billion to turn into contracts in the first quarter. More than half of that has already turned into contracts. So we would expect that other half to be concluded here in the next month or so. So we're hoping all of that falls into backlog at the end of Q1. We're guiding growth in our oil and gas business, it's not double digit growth it's low-single digit growth. I think that's relative to all of the noise that's out there. I think that's excellent results. With that said, there's definitely a level of conservatism built into that. We're not anticipating that every project is going to go perfectly and we're going to be able to do everything in 2020 that we would like to do, or that our customers would like us to do. We're making the assumption and some things are going to get delayed and some things you're going to push. That's been I think a prudent way of looking at guidance and that's kind of what we've done in the last couple of years. If everything hits that we're supposed to do in 2020 that number is going to be a lot better. But I think we're taking a moderate view of the guidance, which I think is reasonable at this point in time. And it just speaks to the strength of our work and what we booked relative to that industry.
Andrew Kaplowitz: And then I just want to ask you about Power Generation, your backlog at 1.3 is quite high, obviously, and if you could talk about sort of the makeup of what's going on. Is it more construction work that you're winning had at PTC expiration? I know you gave us expectations for Power Gen, but given the backlog and the nice snapback in margin, could Power Gen be 100 million annual EBITDA business or greater in the not too distant future?
Jose Mas: Yes, so a couple of things. I think their growth has been broad based, Obviously, renewables is a big piece, win, solar and actually waste and all types of waste to energy has been a driver for us. We're encouraged by, I don't know if you're aware, but the PTC wind credit got extended, so that's something that isn't really a driver of the business today. We're going to see a lot of strength in that industry, hopefully for the next couple of years. So the business is just very solid. They've done a good job of building the business. We've been very focused on trying to prepare ourselves to take advantage of whatever could come through an infrastructure build. We think there's lots of pieces there that are going to get significant investments once our government decides to invest in infrastructure, which we think is -- it's not a matter of if it's a matter of when. So some of the things that we're doing that are really opening us up to that marketing and giving us the ability to hopefully take advantage of that market once it comes, but it's relatively broad based. And again, I think they're executing very well. I think you've seen it in improvement of margins. Our margins would subside a little bit in the first quarter, again and then start to grow. We expect to have better full year margins in that business than we had in 2019. The management team there has done a phenomenal job. Quite frankly, that business has an opportunity also to significantly be what our expectations are in 2020 and they're just doing a great job and again, they've very diversified mix of work.
Operator: And our next question will come from Brent Thielman with D. A. Davidson.
Brent Thielman: Jose, I guess some would suggest that Sprint/T-Mobile are months behind in meeting this sort of three year 97% 5G coverage they need to get to. And I presume that would mean they need to accelerate some spending. Are you having more active dialog there? Do you think they'll emerge as a more relevant customer for you in future?
Jose Mas: I think there was no question about it. We've been having dialog with them throughout the entire merger activity period. We think all of those -- we think both the remaining entities, which are going to be T-Mobile and Dish, they have significant build plans. We have great opportunities. The industry has great opportunities. There's going to be a lot of work. I think again, we've taken a moderate view to what we think we can achieve in the second half with them. I think there's a lot of upside related to that. But again, it's part of what we've invested in. We've made significant investments over the course of the last years, the position ourselves as the best alternative for carriers as they think about their long term needs. I think carriers understand our position in the market. They understand what we bring. And I think that's going to create a lot of opportunities for us. So again, we're very excited. Again, if you look at how we plan 2020 even on the communications side, we're guiding to roughly, I don't know 1.4 billion in the first half of the year or 1.5 billion, 1.6 billion in the second half of the year. And if you look at the last few years, 2016, 2017, 2018, 2019, we've always done about $100 million more in the second half of year than we've done in the first half of year consistently over the last five years. If you look at our plans for this year, it roughly correlates to 150 million to 200 million more in the second half of this year. And relative to all the things that's happened in the industry, especially with Dish and T-Mobile, we think that's not a very unrealistic or difficult stretch to get to, and that's kind of what we've got built in for them.
Brent Thielman: And I got to ask, I guess just given the cash flow this last year expectations this next year, leverage is down. How are you thinking about buybacks today versus M&A and other opportunities for capital allocation?
Jose Mas: Look, the same way we always have, I think we've been very opportunistic relative to our stock. We've made significant purchases in points where we've thought that the stock is undervalued. Obviously, with the performance of the stock here especially in the last week, we believe the stock is very undervalued. We were hit before the slowdown already. We got to the point where we thought we were significantly under-valued. Now we think we're ridiculously undervalued. So obviously something we'll be looking at, we're in a great position to take advantage of these opportunities as they arise. We think they create a lot of shareholder value, so it's absolutely something that we'll be considering and focused on.
Operator: And our next question comes from Alex Rygiel with B. Riley.
Alex Rygiel: A couple of quick questions, first on communications. What's the catalyst to getting the margins back above 10%? Is it just better labor utilization or is it more to it than that?
Jose Mas: Yes, I think it's about revenues coming in. I think we've built our cost structure up a little bit based on the investments that we've made in the people that we've hired. Revenues have to come into support that. So I think we've done a good job of maintaining the margin levels where they've been. As soon as we see a relatively nice uptick in revenue, I think we'll begin to see it in margin. So I think it’s right around the corner we understand our business really well. We track it in a lot of details. So again, it's something that we feel very comfortable is coming. We wish it would have been here already. Obviously, our expectations were for revenue to have grown a little bit more in '19 than they did, but we're very confident that's going to come in the second half of '20.
Alex Rygiel: And then secondly with regards to the oil and gas business. Can you quantify the revenue from large pipeline projects that you expect in 2020, and talk a little bit about the competitive environment?
Jose Mas: So I think even in '19 and looking at '20, we don't have any single project that's making up the dramatic portion of our work. We had that a little bit in '17 and '18 where it made up a significant amount of our revenues. I think if you look at '19, we had more of a broad based MVP was probably our biggest project, but very broad based beyond that, I think you're going to see the same thing in 2020 that's encouraging for us. So obviously we're spreading our risk, we’re spreading on geographic profile. With that said, there's a lot of work out there. I know there's a lot of concern, there's a lot of questions. We're amazed by the level of activity around not just projects for 2020, but planned projects beyond that. So that's our expectation that you're going to just see a lot more, not mega projects but a lot of big projects that will have the opportunity to work on and perform.
Operator: And our next question comes from Steven Fisher with UBS.
Steven Fisher: Just wanted to really follow-up on that last point that you were talking about with Alex and if you could talk a little bit more about how the customer mix that you talked about, the mix shift that you talked about with Noelle. To what extent does that reflect a regional change or some other product mix shift? And then what are you assuming in terms of timing of some of these big project approvals and then when they might come through?
Jose Mas: I think if you look at the business, we generated 20% margins in 2019. We're going to have margins that are close to that in 2020. Obviously, couple of hundred basis points less is what we're expecting relative to the mix with it being consistently good. So we expect really good margins in oil and gas, both in the first quarter, first half, second half, improving as the year goes on. It's a very exciting time. Part of that is driven by the mix of projects that we have. To the extent that we do more cost reimbursable work in those periods, the margins tend to be a little bit lower, because that work ends up being -- you don't have as much risk but obviously the returns are a little bit lower. So we feel really good about the mix of work that we've got. We feel really good about where the project stands, so the fact that the great majority of our projects really aren't facing significant regulatory hurdles. Obviously, MVP is the one that everybody wants to talk about, because it's out in the press and we've got some permits to get to completely finish that but even on MVP, there's a lot of work to do irrespective of what happens with the Supreme Court and all of these permits. So we've got to go back to work. There's a lot to do. Full completion of that project will have some dependency on permits. But for the most part, there's a lot of activity around these jobs. And most of the other jobs aren't in that circumstance. So again, good geographic diversification, good mix of work is helping us both grow revenues and maintain the margin profile.
Steven Fisher: But you did mention there was a customer mix shift this year. I was just wondering how different that might be and in what way?
Jose Mas: Well, look I think there always is, because you've got the broad based answer isn't one midstream company reduces CapEx. It doesn't necessarily have a huge impact on our business, because there's others that are increasing CapEx. So there's others that have project plans that are hitting in the particular year. So it's not one customer driven. We've done big projects for customers. They roll in they roll out. They have significant projects one year. they may not have a lot of activity the following year. They may end up coming back a couple of years later. So it's important for us to have broad base relationships with lots of customers and kind of figure out who's spending and what time period and make sure we're in front of them and have great opportunities, and I think we've been able to do that.
Steven Fisher: Just a quick one on telecom. How much did QuadGen add to backlog in Q4? I assume it was fairly modest. And then do you expect the bookings to on a quarterly basis in communications be consistent with fourth quarter? Or are they going to be kind of lumpy up and down quarter-to-quarter?
Jose Mas: It's going to depend on -- the big opportunities for us for further -- for significant further backlog expansion is going to come from some of the new entities and what happens post merger, that's not -- I think that's going to play out over the course of the next couple of quarters and not necessarily next quarter. For the QuadGen question, it was relatively small as well under 100 million. A lot of the work that they do was for us a portion of that work, which wouldn't do anything to our backlog. So it really didn't have a meaningful impact to backlog.
Operator: Our next question comes from Chad Dillard with Deutsche Bank.
Chad Dillard: So can you talk about the 2020 mix of wireline versus wireless, how's that compared to 2019? And then also on electric transmission side, can you just talk about your project pipeline, the prospects there and then how they think about that?
Jose Mas: So for 2020, we're actually expecting growth in both wireline and wireless. I think the wireline growth will be fairly consistent throughout the year. We've got a lot of projects that we're working on. So it'll be really strong both first half, second half. I think wireless is really strong. Again, showing growth first half, I think showing more growth in the second half. So both of those markets we continue to believe are very strong. There's a lot of activity, there's a lot of fiber being placed for multiple reasons. One is obviously for wireless backhaul but the second you've got the cable companies doing a lot relative to providing higher speed broadband to homes. So there's a lot of activity there. On the wireless side, I think we've talked about it a lot. I think every carrier is going to have massive spend plans for a long period of time as they begin to roll out 5G. From an electrical transmission side, I think we've done a really good job with the business. I think they've executed, they performed on the projects we expect strong double digit growth this year. I think George said north of 20%, we've got -- our backlog is actually very strong. We got a lot of projects that fall outside of the 18 month backlog period. So our total backlog in transmission is considerably higher than what our stated and published backlog number is there. We've got a lot of projects outstanding, some of which we think we're going to win that are going to have a very positive impact to backlog. So everything's working very well there. We've always talked about having the goal of all of our segments being north of a $1 billion. We saw Power Gen do that in the last year, we think ultimately it's just a matter of time before the electrical transmission gets there.
Chad Dillard: And then on cash conversion, can you just talk about just how to think about that in 2020, as well as just kind of think about the cadence as we go through the year?
George Pita: We’ve talked about obviously we're expecting record cash flow from ops for the year. Our DSO level will be a little higher in the first quarter, will be similar to what we did in the fourth quarter, but we'll still generate significant cash flow. So I don't think it'll be relatively consistent. It's not going to be as lumpy as it was two years ago when we had some structural issues that slowed collections now at this point, everything that we're dealing with is just ordinary course corrections and movements outside of maybe retainage and that sort of thing. So no question that for the year we expect record cash flow as well as we did in 2019. Frankly, we could have done a little bit better on cash flow. So we expect that our cash flow in 2020 should grow a little bit higher than our overall growth in terms of earnings is concerned. And once again, we expect that free cash flow exceed net income.
Operator: And our next question comes from Adam Thalhimer with Thompson Davis.
Adam Thalhimer: George, I think you seem to stress that Verizon wireless is a good opportunity in Q4, and I think historically Verizon used small kind of local contractors for wireless work. Is there a larger opportunity there?
Jose Mas: So I don't know if you directed it to George and myself. We've been saying that for a while. I think Verizon as we looked at the one fiber project contracted that project very differently than they've historically contracted anything. I think that's opened the doors for significant dialogue with that customer around, what they're going to do in the future. I think, what we all need to understand is irrespective as much noise and press it gets 5G is an extremely early stages. And the amount of activity levels required to ultimately deploy that are going to increase considerably, multiples of what it is today, which is going to give every, every carrier significant challenges as they think about their build out plan. So I think every carrier that exists out there today is going to have opportunities available to the industry for people to come in and take advantage of it and really create different types of relationships and they've seen in the past to be able to execute on their plans and Verizon is no different.
Adam Thalhimer: And the Power Gen business is so big now. Can you kind of walk us through, what we're percent of the mix now between wind, solar, biomass?
Jose Mas: The breakout of each of those?
Adam Thalhimer: Yes, I'd just add just a little more color on it. It's become a big piece of the story now. So just some more color on internally in that business what's really driving things?
Jose Mas: Yes, I think it's a mix of all of it. Solar is a relatively new business for us. It's a great opportunity. Our hope is 15%, 20% of that business this year will be related to solar. Wind continues to be a significant piece of the business for us. It'll probably be 40%, 50% of revenues in 2020. Then the balance is a mix of all of their types of work. Everything else we've talked about over the course of the last year. All the pieces are growing probably obviously solar is new so that's growing faster. But again, it's a very broad mix of projects. And again, I think they're performing very well and executing well on all projects mixes.
Operator: And our next question comes from Sean Eastman with KeyBanc Capital Markets.
Sean Eastman: A quick question, I'm just curious of the 2019 mix. How much of the oil and gas segment is, integrity, work and utility main replacements? The stuff that the investment community's a little more comfortable having exposure to. Just curious what that is today. Maybe what kind of strategies are in place or sort of growth trajectory we can see around that more sort of defensible type of work.
Jose Mas: So a couple things. One is, we're very excited about that market. We think that's a growing market there's obviously lots of needs in different parts of the country where more dollars are being spent in others. It's relatively a $200 million to $400 million business for us at any given point in time. With that said, we agree that's a defensible market, but we also agree -- we also believe that the rest of our business is pretty solid. So I know that there's a distinction in the market between them, but I think it's important to mention that you know we feel really good about the long term ability of the rest of our business to continue to perform and maintain a current levels.
Sean Eastman: And second one is just around -- so we've got these Sprint T-Mobile merger, which is a positive development around the 5G opportunity set but then we've also got this corona virus backdrop and some potential supply chain impacts around that. And so just be helpful to get a sense for an update on just the overall timing on when some of the 5G macro tower work is going to start to kick off in earnest?
Jose Mas: Well, some of it is started right, so it depends on what carrier. So I think when you look at and other carriers or weren't involved in the merger, they've, you know, they kind of set their build plans for 2020 so we've got a good feel for what, where they're going to do. We think we'll, equipment hasn't been an issue to date. They've done a good job of preplanning on their procurement side. So they've done a lot relative to that, some of the guys that are coming out of the merger they stopped a lot of the work that they were doing or significance slowed it down. So we think there was an inventory build there as well, which we think, you know, somewhat offsets any potential procurement issues as we look at, you know, at least to the end of 2020. Beyond that, we don't think it's been -- it hasn't been an issue in the industry to date. We obviously have no idea what's going to ultimately happen there and how much worse that gets, and if it does end up having long term issues with certain types of equipment. But at all our customers are super focused on it, they're working hard on it, they're trying to find alternate sources of so needed so there's a lot of attention being paid to that right now at the customer level.
Operator: And our final question will be coming from Justin Hauke with Robert W. Baird.
Justin Hauke: Two quick numerical ones here, just the first one on the diversification of the client base in oil and gas for the second half ramp. I guess I'm just curious, I mean it looks like MVP based on the percentages you gave with your customers was about 25% or so of the full year revenue, how much scope is left on that project? That's part of that ramp versus maybe everything else that you've booked and are going to book in the first quarter.
Jose Mas: So MVP is not in the $1.4 billion of subsequent and verbal awards that we talked about. We would consider that part of what we had from our pending works or they're separated and that's important to note. We expect a considerable amount of revenue from MVP to finish the job. We're not going to get into specifics, but I think if you look at 2019 levels, there's probably roughly that much left to finish that job to completion. How much of that happens in 20 versus or if it pushes some in 21, we'll see and I think probably all we'll say about that customer.
Justin Hauke: And the second one is just the revenue contribution looks like it was a little bit more than what we were expecting. What's the acquired revenue assumption that you guys are taking from that business in '20?
Jose Mas: In 2020, on a gross basis, if you look at the revenue is probably just under a hundred, but a significant portion of that is internal to Mas Tec so it'll get reversed and consolidation. So it's probably $50 million ad, roughly.
Operator: And there are no further questions at this time. I would like to turn the conference back over to our speakers for any concluding remarks.
Jose Mas: All right. This concludes our year-end 2019 call. I'd like to thank everybody for supporting us during the year and participating, and we look forward to updating you on our first quarter call. 
Operator: Well, once again, ladies and gentlemen, that concludes today's conference. We appreciate your participation today.